Operator: Hello, and welcome to the Albemarle Corporation's Q3 2024 earnings call. We ask that you please hold all questions until the completion of the formal remarks, at which time you will be given instructions for the question and answer session. Also, as a reminder, this conference is being recorded today. I will now turn the call over to Meredith Bandy, Vice President of Investor Relations and Sustainability.
Meredith Bandy: Thank you, and welcome everyone to Albemarle's third quarter 2024 earnings conference call. Our earnings were released after the market yesterday, and you will find the press release and earnings presentation posted to our website under the investor section at Albemarle.com. Joining me on the call today are Kent Masters, Chief Executive Officer, and Neal Sheorey, Chief Financial Officer. Netha Johnson, Chief Operations Officer, and Eric Norris, Chief Commercial Officer, are also available for Q&A. As a reminder, some of the statements made during this call, including our outlook, guidance, expected company performance, and strategic initiatives, may constitute forward-looking statements. Please note the cautionary language about forward-looking statements contained in our press release and earnings presentation, which also applies to this call. Please also note that some of our comments today refer to non-GAAP financial measures. Reconciliations can be found in our earnings material. And now I will turn the call over to Kent.
Kent Masters: Thank you, Meredith. During the third quarter, Albemarle continued to demonstrate solid operational execution, delivering volumetric growth in energy storage and specialties, year-over-year EBITDA growth in specialties and kitchen, strong operating cash conversion of over 100%, and leverage metrics well below our covenant limits. We also continued to progress our cost improvement plans, further ramp our new facilities, and deliver higher volumes. As a result, we are maintaining our full-year 2024 corporate outlook considerations. In a few moments, Neal will give more detail on our third quarter performance, key results, and actions we are taking to preserve our financial flexibility. My focus today will be on addressing the outcomes that we are now driving as a result of the comprehensive cost and operating structure review we progressed over the past few months. In conjunction with this review, we are implementing a new operating structure, transitioning to a fully integrated functional model designed to deliver significant cost savings and maintain long-term competitiveness. We are targeting $300 to $400 million of further cost and productivity improvements by eliminating redundancies, reducing management layers, and optimizing manufacturing costs. These savings are due in part to the difficult but necessary decision to reduce our global workforce by an additional 6% to 7%. In total, we have eliminated nearly 1,000 roles, including all the actions announced this year. We also are now driving a year-over-year reduction in our full-year 2025 capital expenditures by at least $800 million or about 50%, with a disciplined focus on critical health, safety, environmental, and site maintenance and a phased approach to maintaining our world-class resource base. We are confident these actions are the right steps to adapt to market conditions while serving our customers and pursuing long-term value creation. I will have more to say about our cost-out and productivity plans later on the call. I will now hand it over to Neal to discuss our financial results during the quarter.
Neal Sheorey: Thanks, Kent, and good morning, everyone. Beginning on slide five, I will summarize our third quarter performance. We recorded net sales of $1.4 billion compared to $2.3 billion in the prior year quarter, a decline of 41% driven principally by lower pricing, particularly for lithium. During the quarter, we recorded a loss attributable to Albemarle of $1.1 billion and a diluted loss per share of $9.45. Adjusted diluted loss per share was $1.55. Our GAAP result included a pretax charge of $861 million related to capital project asset write-offs at Kemerton 3, and putting Cameron 2 into care and maintenance, of which about 10% is cash outflow in the second half of the year. This charge was below our initial estimate that we provided on the last earnings call of $900 million to $1.1 billion. Turning to Slide six, our third quarter adjusted EBITDA of $211 million was lower than the prior year period, also primarily due to lower lithium pricing. This was partially offset by lower cost of goods sold primarily related to reduced spodumene pricing. Other positives include higher volumes in energy storage related to delivery of our growth projects, and in specialties related to stronger end market demand. Our cost and efficiency initiatives also provided productivity which more than offset inflation. Looking at adjusted EBITDA by operating segment, we saw improved year-over-year profitability in specialties, due to productivity improvements and better end market demand. Catch in EBITDA also improved year-over-year as we continue to execute our turnaround plan during the quarter. Moving to slide seven, as Kent mentioned, we are maintaining our full-year 2024 outlook considerations thanks to the execution of cost and productivity improvements, continued strong volume growth, including higher sales volumes at Artalison JV, and contract performance in energy storage. As a reminder, these scenarios are based on historically observed lithium market pricing, and represent a blend of relevant market prices including both China and ex-China pricing, for lithium carbonate, and lithium hydroxide. Turning to slide eight for additional commentary on outlook, we expect corporate full-year 2024 net sales to be near the lower end of the $12 to $15 per kilogram scenario primarily due to weaker second-half pricing for lithium, offset by contract performance. Full-year 2024 adjusted EBITDA is expected to be in the middle of that same scenario range thanks to successful cost-cutting and productivity improvements. In energy storage, we now expect full-year volume growth to be more than 20% year-over-year, as we have continued to benefit from solid demand particularly in China, and ongoing ramps of our new facilities. Fourth-quarter volumes are expected to be down sequentially primarily due to timing of spodumene sales volumes, reduced tolling, and planned outages. Margins are expected to be slightly higher sequentially as the benefit of lower-priced spodumene in cost of goods sold offsets the impact of unabsorbed fixed costs as our new plants continue to ramp. At both specialties and kitchen, we continue to expect modest sequential improvements in the fourth quarter, thanks to better end market conditions and productivity benefits. Please refer to our appendix slides in the deck for additional modeling considerations across the enterprise. Moving to our balance sheet and liquidity metrics on slide nine, we ended the third quarter with available liquidity of $3.4 billion, including $1.7 billion of cash and cash equivalents and the full $1.5 billion available under our revolver. Actions we have taken to improve our cost structure and enhance operational efficiency have also provided enhanced financial flexibility. Thanks to our successful actions to reduce costs and optimize cash flow, we ended Q3 with net debt to adjusted EBITDA of 3.5 times, or two turns below the covenant limit in the quarter. To navigate market conditions, we took proactive measures in the quarter around our covenant waiver. The outcome of our action is shown on slide ten. In October, we proactively extended our covenant waiver through the third quarter of 2026 and reshaped it to ensure we have the financial flexibility needed as we execute our new operating structure and cost reduction actions. Moving forward, our goal remains to stay well within these limits through solid financial and operational execution, as we have shown throughout 2024. Slide eleven highlights our execution focus which is demonstrated by the continued improvement in our operating cash flow as a result of operational discipline and cash management actions. Our operating cash flow conversion defined as operating cash flow as a percent of adjusted EBITDA, was greater than 100% in the third quarter, primarily due to timing and management of working capital. We continue to expect full-year operating cash conversion to be approximately 50%, at the higher end of our historical range and above our expectations at the beginning of the year. This is driven by increased Talisin dividends with higher sales volumes at green bushes, and working capital improvements, including a significant focus on inventory and cash management across our operations. This means that we expect fourth-quarter cash conversion to be lower than recent quarters due in part to cash outflows associated with the workforce reductions we announced today as well as the timing of JV dividends. As a reminder, we account for our 49% interest in the Taliesin JV via the Equity method. Therefore, the impact to cash flows is in dividends received. As we have said before, we expect dividends to be lower than normal year, and into 2025 as Taliesin completes the CGP3 capital project at the Greenbushes mine. I'm pleased to see that our efforts to improve operating cash flow conversion are yielding results. We will continue driving toward free cash flow breakeven through our ongoing ramp of new capacity, inventory management, bidding events, cost out and productivity measures, and other cash conversion improvements. Turning to slide twelve, we will provide a few comments on current lithium market conditions, which have shown some positive signs. On the supply side, there have been several announced upstream and downstream curtailments. Non-integrated hard rock conversion is unprofitable, and larger integrated producers are under pressure. We estimate that at least 25% of the global resource cost curve is unprofitable or operating at a loss. On the demand side, grid storage demand continues to surprise to the upside, up 36% year-to-date led by installations in the US and China. Global electric vehicle registrations are up 23% year-to-date, led by China, and demand growth in the United States is also up double digits. Slide thirteen breaks down global EV demand growth by region. China represents 60% of the overall EV market with continued strong year-to-date demand growth of more than 30% in line to slightly ahead of initial expectations. In terms of demand mix, we have seen stronger growth in plug-in hybrid sales in China, as current subsidies are more balanced between battery EVs and plug-in hybrids. Chinese plug-in hybrids include range-extended vehicles with battery sizes somewhere between traditional battery EVs and plug-in hybrids. Meanwhile, the softest demand region globally is Europe, where EV sales growth is down slightly year-to-date due to reduced subsidies and weaker economic conditions. Potential price cuts and the drive toward EU emission targets represent rebound opportunities in 2025. North American sales are up 13% year-to-date, far stronger than suggested by recent headlines. US EV sales trends have strengthened in the back half of the year benefiting from increased model availability, and affordability. Looking further out on slide fourteen, longer term, we continue to expect lithium demand growth to expand by 2.5 times from 2024 to 2030. The global energy transition remains well underway, supported by consumer preferences, government policies, and technological advancements. From an affordability perspective, the global EV supply chain is on track to achieve the critical $100 per kilowatt hour tipping point, where EVs are at purchase price parity with ICE vehicles. The Chinese industry has likely surpassed that target with the rest of the world not far behind. Overall, these trends continue to reinforce our belief in the long-term growth potential of the industry. With that, I will now hand it back to Kent.
Kent Masters: Thanks, Neal. Turning to slide fifteen, I will cover the significant yet necessary actions we are taking to re-baseline our cost structure while allowing us to maintain our leadership position and preserve future growth. Let me start with our new operating structure on slide sixteen. Over the past several months, we have evaluated multiple models, balancing cost with an agile go-to-market approach. Following this review, we announced a new operating structure transitioning to a fully integrated functional model to deliver significant cost savings and maintain our long-term competitiveness. This slide shows our leadership team with several title and role changes to reflect our new structure. From a financial reporting perspective, we will continue to report across our three segments of energy storage, specialties, and kitchen. Our fully integrated organizational structure is designed to flex with the complexities of our markets and to strengthen our core capabilities in a cost-effective way to maintain our leadership position. Turning to slide seventeen, it's important to put our latest actions in context of the series of self-help steps we have been progressing for several months as we navigate the current business environment. Albemarle continues to act urgently across four key areas: optimizing our conversion network, improving cost and efficiency, reducing capital expenditures, and enhancing financial flexibility. Our actions are broad-based and designed to maintain our long-term competitive advantage in light of market conditions. And given the dynamic environment we continue to face, we are always adding to our list of potential actions so that we are ready to pivot as necessary. I'm confident in the team's ability to deliver these improvements based on our performance to date. We highlight that on slide eighteen. Here is a summary of our progress on the cost savings and cash flow initiatives introduced in January and July of this year, as well as the additional actions we are announcing today. All these programs are in execution, and the January and July actions are on track or ahead of plan, demonstrating our sharp focus on operational efficiency and proven ability to execute. Regarding the $300 million to $400 million of cost improvements we announced today, we expect to achieve a $40 million to $50 million run rate by the end of this year. Additionally, we plan to reduce our 2025 CapEx to between $800 million and $900 million, down about 50% versus 2024. How we got to these cost-out and CapEx targets was through rigorous analytics that involved a combination of robust peer benchmarking and bottoms-up project planning to estimate target savings. Over the quarter, we analyzed spend across three categories: non-manufacturing costs, specifically SG&A and R&D, manufacturing cost, and capital expenditures. Our levers to deliver the non-manufacturing and manufacturing cost and productivity savings are detailed on slide nineteen. Our total cost-out opportunity of $300 million to $400 million includes approximately $150 million in manufacturing opportunity split between cost reductions, like energy and maintenance efficiencies, and increased volume through plant ramps, yield improvements, and other areas. The $150 million to $250 million of non-manufacturing cost improvement follows a robust benchmarking review with the assistance of a third-party consultant. We evaluated and analyzed our non-manufacturing cost structure against like-sized peers in lithium and other related industries like specialty chemicals and mining. The biggest driver of these non-manufacturing savings is the change to our operating structure. The integrated model we made effective November first allows us to consolidate activities and reduce duplicative work, optimizing management layers, and increasing efficiency. Other key drivers include shifting more activities to established hubs and low-cost jurisdictions and leveraging technology to reduce manual work. We will continue to internally track our actions and progress through an established program management office, which will be laser-focused on these initiatives and leveraging our ability to execute. Slide twenty breaks down the third leg of our work, which is the reduction of our 2025 capital expenditures by more than $800 million versus 2024. Overall, we are targeting sustaining CapEx of 4% to 6% of net sales, in line with historical performance and specialty chemical averages. Though we have pulled down our spending, we will continue to invest in critical health, safety, environmental, and site maintenance projects. Through our disciplined capital allocation, we will maintain our industry-leading resource base at a phased manner. Additional growth capital will be limited to primarily high-return brownfield expansions and productivity improvements. Moving to slide twenty-one, the actions we are taking are designed to maintain Albemarle's significant competitive advantages and position us for long-term value creation, which is encapsulated by our strategic framework shown on slide twenty-three. Our strategy is unchanged but as always, we will adjust our execution to pivot and pace with the dynamic markets we serve. Our strategic framework continues to guide how we operate Albemarle as we lead the world in transforming essential resources into critical ingredients. The resources we provide play a critical role in areas where a compelling long-term growth profile. And we have competitive strengths that will allow us to navigate the environment highlighted in more detail on slide twenty-three. First, our world-class resources are arguably the best in the industry, with large-scale, high-grade, and therefore low-cost assets. In energy storage, we have access to some of the highest-grade resources in both Hard Rock in Australia and brine in Chile. Similarly, in specialties, we are the only producer with access to both tier-one bromine resources globally in Jordan and the United States. Second, our leading process chemistry know-how is key to achieving further productivity and cost improvements, safely and sustainably. At both the Salar and Magnolia, we have evaluated a wide range of direct lithium extraction options and are piloting solutions. Third, we have a pipeline of high-impact innovative in both bromine and lithium. Our research testing, and piloting facilities in North Carolina, Louisiana, and Germany allow us to participate in differentiated high-margin segments and support our customer-specific requirements. Fourth, Albemarle's leading industry position as a partner of choice is demonstrated through our partnerships with iconic pioneering companies. Both our businesses have high net promoter scores with significantly positive gaps relative to competitors, reflecting long-standing successful relationships with major customers. And we are increasingly recognized for the good work we do and the good that our work is doing. For example, we were recently named as one of the world's best companies by Time, demonstrating our commitment to creating a more resilient world and advancing the sustainability objectives of our customers. In summary, on slide twenty-four, Albemarle delivered another solid performance in the third quarter, including higher volumes in energy storage and specialties, and year-over-year improvements and adjusted EBITDA for specialties and kitchen. We've maintained our full-year 2024 outlook considerations thanks in part to enterprise-wide cost improvements, strong energy storage project ramps, and contract performance. We are focused on taking broad-based proactive steps to control what we can control and ensure we are competitive across the cycle. Albemarle remains a global leader with a world-class portfolio and vertical integration strength. I am confident we are taking the right actions to maintain our competitive position and to capitalize on the incredible long-term opportunity in our markets. I look forward to seeing some of you face-to-face at upcoming events listed here on slide twenty-five. And with that, I'd like to turn the call back over to the operator to begin the Q&A portion.
Operator: We will now move to our Q&A portion. If you would like to ask a question, please press star five to raise your hand. Our first question is from Aleksey Yefremov from KeyBanc. Aleksey, your line is open.
Kent Masters: Thanks. Good morning.
Neal Sheorey: Was lower fixed cost next year and some volume growth, can you keep your EBITDA at least flat if prices do not change? Or do you expect an increase or decline? So I okay. So that's a 2025 question as we go into a total and to be clear, we are not we are not gonna give an outlook for 2025 on this, but we can give you some kind of puts and takes off 2024. Neil, you wanna take that.
Neal Sheorey: Yeah. Sure. Good morning, Alexei. So, yeah, just a we're we're obviously working through our 2025 outlook right now, so it's a little premature for for us to talk about that. We'll talk about that on the next earnings call. But just to give you a couple of puts and takes here, so obviously, where pricing is today, that's something something that you can observe and and relative to the lower end of our guidance range today, we're probably 20% to 25% market pricing is below the average that we have achieved in in 2024. And so you can kinda build that if you if you assume today's prices kinda roll into next for in terms of a headwind for pricing. I'd also point you to all remember that in Q2, we had a bump up in our equity earnings from the Taliesin JV because we had an unusually high offtake by our partner at the JV and so we had about a $100 million uplift in the second quarter, and I do not expect that to repeat in 2025 as well. Now on the opposite side of that, is, as you mentioned, our fixed cost, we you should expect our fixed costs are gonna come down. We've, had the actions that we've announced today, the $300 to $400 million of cost and productivity action. We expect at the end of this year that we'll be at that 40% to 50% run rate. So that is savings that you can start to build into 2025 and, of course, we'll continue to build on those savings as we go through the through the year. And then, of course, we're also still ramping our our plants. Especially in the lithium business. And so you should you should expect that our fixed assets are are gonna continue to ramp as we go through 2025. So just a few puts and takes to think about things as you go through through 2025.
Kent Masters: And, Neil, I I need to follow-up on the on on the last point, you you cut your CapEx for 2025. How how is it affecting your your volumes next year? And and if you can provide any comments about volume growth right here in lithium.
Neal Sheorey: Yes. I do not I mean, the CapEx cuts were doing now won't impact volume our forecast for volume for next year. Those are it's adds further out and then us getting just tighter. On our CapEx program. So we're we're still we look at I think we previously talked about 20% growth through 2027. Some of the CapEx cuts we've done in taking some volume out, that's probably 15% CAGR through 2027. So that it's a little bit but it's longer term. It's not so much in 2025. Yeah. And, Alexei, maybe just to to pile on to that. The growth that I'm talking about for 2025 is is obviously driven by assets that are already built and and continuing to ramp. So, like, the Salar yield improvement project, Maishan in China, and will continue to ramp in 2025.
Operator: Our next question is from John Roberts with Mizuho. John, your line is open.
John Roberts: Thank you. On slide eight in that fourth quarter improved margin guidance for energy storage, what are you assuming for Talos and equity income in the fourth quarter? And what's the Talis and CapEx for 2024 and 2025?
Neal Sheorey: Yeah. So, John, this is Neil again. So when you think about equity income for next quarter, I think your assumption should be I mean, basically, spod pricing has been pretty flattish if you look at third quarter into into fourth quarter. So I think you should think about something kind of similar to what we've experienced in the in the third quarter, all things being equal. And then I think the second part of your question can you repeat that again? The budget for 2025 yet? And what what you think their 2024 CapEx comes in at? Yeah. So it it it is definitely premature for me to talk about the CapEx budget for 2025. For sure, there is capital that the JV continues to need to spend with regards to the CGP3 asset. That's an asset that will continue to be built. It will be finished up in 2025, and we expect it to be actually starting up as we get towards the end of 2025. But, John, we're literally working through the talisman budget with the JV and with the partners right now. So it's a little premature speak to that. We should have more to say okay. On the next earnings call. And what did you have to agree to or pay order to get the revised financial covenants?
John Roberts: Yeah.
Neal Sheorey: John, I won't I won't give you the exact number, but it was it was a very small amount. You should think about it being far less than a million dollars.
Operator: Our next question is from David Deckelbaum with Cowen. David, your line is open.
David Deckelbaum: Thanks for your time this morning. I was curious. You've received some questions on the impact of the CapEx cuts on your long-term growth profile. The reduction of that $800 to $900 million as you go through this strategic review, is that where we should think of approximately maintenance capital or as we get into 2026 and beyond, could we see numbers, you know, quite a bit below those levels?
Kent Masters: Yeah. So we're look, we're getting we're we're tightening down on maintenance capital, and we're targeting a range of 4% to 6% of revenue at some at a normalized level. So you'll see it's a little bit above that this year because we think pricing is below a normalized level. So we're a little above that, but we're also working working to tighten that up. And then you see growth capital in there for high return projects, productivity type projects, brownfield type expansions, which are high return and quick payback. So that's kinda how what we've got built into that that $800 to $900 million. And look, we'll continue to work on that. It depends on the opportunities that that we have, but we'll we'll continue to focus. But we're from a maintenance capital standpoint, we're trying to be in that range of 4% to 6% on a normalized basis. And we're we're a little ahead of that for this year. Or for next year. Sorry. Appreciate that.
David Deckelbaum: Yep.
Kent Masters: And then, you know, just continuing with just the theme of of cash. Preservation, what's what's the outlook for the next several quarters in terms of of cash conversion? Obviously, this quarter, there was some working capital management that really helped that conversion and and and helped kind of fortify the balance sheet. So I'm curious how you think about you know, the the next the next several quarters ahead of us here.
Kent Masters: Yeah. So Neil can give us some specifics on that. But but we're we're we're very focused on it. Some of our key metrics around that is is cash conversion. So up cash flow, everything around that, but a key management metric that that we're focused on is cash conversion. You saw a big number this quarter. We obviously can't we can't repeat that, so it it will come off that. We're we're above historic levels that oh, where we've operated historically, but we're focused on driving that conversion number up. Neil, do you wanna make any specific comment?
Neal Sheorey: Yeah. Just to just to add to that, Ken. So absolutely, I'll double down on what Kent said that we obviously have a very strong focus internally on cash generation, cash conversion, and driving to that free cash flow breakeven point in the future. And we're continuing every quarter to work on this. Several things that we're we've got in flight is obviously working capital management is is very much front and center. We have the cost and productivity that we are already doing, but obviously, today, we've announced even more that we're doing, and so we continue to drive on that. The the other piece that will be very important for our overall cash flow generation is how we think about the dividends coming off of the Taliesin joint venture. One of the reasons that we mentioned in the deck that our our cash conversion is going to be lower in the fourth quarter is that at the moment, we see those those dividends from the Talison joint venture in the fourth quarter coming down. They're right now, our assumption is they'll be zero. But obviously, as we get into 2025 and as we work through things with the JV, it will be very important to as we think through the dividends that that JV can can throw back to the partner.
Operator: Our next question is from Ben Isaacson with Scotia Capital. Ben, your line is open.
Ben Isaacson: Good morning. This is Apurva on for Ben. So my question for you is that so you've discussed your leverage covenant providing substantial offer. We thought kind of two x spread in Q3. Is there any color that you can provide on the shape of those limits as they evolve through to 2026? Moving specifically at Q2 and Q3 2025 where that lever the covenant limit rises to kind of 5.75 times. So any color there?
Neal Sheorey: Yeah. Perva. So, you know, essentially, the the shaping of that covenant waiver sort of follows recall that our covenant waiver is calculated on a trailing twelve month EBITDA. And so you can imagine that we've kind of shaped this based on how we look backwards at the the the shape of the EBITDA that we've generated so far in in 2024 as well. So that's really how we we've thought through how the trailing twelve months might look like as we go forward and then shape covenant waiver accordingly.
Ben Isaacson: Perfect. Thank you.
Operator: Our next question is from Steve Byrne with Bank of America. Steve, your line is open.
Steve Byrne: Hi. I'm Rob Hoffman on for Steven. In 3Q, realized pricing energy storage has seemingly come in at a lower premium relative to the lithium market price versus prior quarters. Was there any meaningful shift in the percent of contract price with one quarter lags and pricing floors? And what percent of the two-thirds contractors figure has pricing for us?
Kent Masters: Yeah. So I don't there's there's real no change in the contracts that that rolled off during the quarter. So that I'm not sure. So that that is a little different than the way that I think about it. But the contracts really, they they haven't changed. So it's the mix of where those customers are and where that volume gets taken is is how your average moves. Price.
Steve Byrne: And and we're I don't think we're gonna say anything more than we have said before about the contracts and the floors that we have. So we've got contract volume on about two-thirds of it. And some have floors and ceilings and and others don't. But not gonna but it hasn't changed.
Rob Hoffman: I could just ask. This is Eric that that that during during the quarter, we did see our highest volumes that we'll see any quarter. This to date and be hired in the fourth quarter as well. A lot of that was due to the timing of spot sales and spodumene sales. Which would buy us a mix and in a quarter and and has. So, I mean, I think I think you're noting something that is that is is on target that there's a mix effect there. That's not a reflection of contract that I would wash out on a full year basis and we can guidance. Makes sense. And then just a follow-up, given a look lower pricing being sustained, might you consider cutting operating rates to tighten the market rather than the aforementioned guided 15% year term catered growth and volume.
Kent Masters: So we we look at everything. It's probably it's less a little bit about tightening the market, but where it makes sense for us to what our customer demand is, what we see volumes growing to and the mix about where we produce most cost-effectively. So but but we we look we're looking at everything. Including operating rates at plants, but it it's really more about the mix of our customers, the demand growth, than it is about thinking about tightening the market.
Operator: Our next question is from Vincent Andrews with Morgan Stanley. Vincent, your line is open.
Vincent Andrews: Thank you, and and good morning. Neil, can I ask you on the $300 to $400 million, you know, 40% to 50% run rate by the end of this year? What then you know, gives you such a wide range for I guess, you're gonna finish all off by the end of year. But what would make it $300 and what would make it $400?
Kent Masters: I think that's I mean, it's just it's a range that we're giving and some of the things that we're working through around that. So it's not all completely detailed out. So and, that that dime there's a dynamic of around that. As we go. Some of it is around overhead, some of it's around operating cost, productivity improvements, and things that we're doing at plant. So there there's a range to give us a little bit of breathing room because we're the lower end would be fairly conservative, and the upper end would be a bit of a stretch. I don't think it's any more sophisticated than that.
Vincent Andrews: Fair enough. You can't if I could ask you, know, as we as we look ahead, we're obviously at the bottom of the cycle. Let's let's assume the cycle turns. Let's assume prices go back and I'll make up a number $25,000 a ton. You know, and you clean up your balance sheet issues. What what is Albemarle's strategy in gonna be? Is it just gonna be a reversion to what you were doing prior to last down cycle where you wanna get back into conversion and you wanna go out by resources? Or you're gonna do something different, or are there things you're not gonna do? You know, how are you how are you and how's the board thinking about, you know, sort of the where the company wants to be strategically going forward?
Kent Masters: Yeah. So we've said I actually said our prepared remarks that our strategy has not changed but the way we're executing against it has. So if we so when when we'll react to the market. So prices come back, to be honest, I think we're gonna be a little conservative to make sure that they are gonna stay there. Before we shift our our plans around that. So we'll be we'll be we wanna make sure if they move up, that they're gonna stay up and we're just not in another cycle. And I think right now, we're focused on making sure that we put the cost structure in place to compete through the bottom of the cycle and we'll be able to we're trying to create the flexibility to pivot up if the market returns, but we're gonna be a little conservative to make sure it really changed and we're just not in a cycle.
Operator: Our next question is with Kevin McCarthy from Vertical Research Partners. Kevin, your line is open.
Kevin McCarthy: Hi. This is Matt Hower on for Kevin McCarthy. During your cost structure review, what new processes did you learn from benchmarking lithium peers? And how do you plan to implement those at Albermaril? On slide nineteen, it looks like there's a gap between the current non-manufacturing costs.
Kent Masters: Yeah. Albemarle.
Matt Hower: And out of your meeting peer group? What did you identify as the source of that difference?
Kent Masters: So on the benchmarking, I'll take that. Sorry. We got a phone going off in the room. So I on the benchmark, I'm not sure we learn any new processes from benchmarking our peers, but it's more about a the cost the cost of overhead where people were operating and not it's less about lithium peers than it was just about broad corporate cost structure. With people that have a footprint that looks a bit like ours, very global, with heavy manufacturing those type of pieces. So I'm not sure we picked up any big process changes that we learned from our lithium peers. I I think it's just more about the the aspiration we took from a cost-saving standpoint based on what we saw other corporates doing. And maybe this is Neil. Just to just to add to a couple of things. Look, as an organization standpoint, we were obviously for for growth historically and now in this new environment, we're we're moving to more of a co cost-focused organization. Time and again, that that model that works is the functional model that we announced. And so I think one of the key things that we saw is that there are ways to achieve what you need to from a a strict functional model standpoint. So that's one of the the key things as we functionalize the company. There are naturally gonna be cost and simplification opportunities. And then the other thing I'll I'll point out too is that we have two up and running and and very well very well running back offices and those are areas that we can use much more efficiently especially in functionalized model as well. So those are just a couple of examples. You see them on on slide, I think it's nineteen as well. But those are really some of the core areas where we are finding cost-out opportunities.
Matt Hower: Thanks. And then could you comment on some of the recent supply curtailments that you've seen? There been any significant downward movement in lipidolite supply out of China or Africa? And given that, you know, you estimate 25% of the supply curve to be unprofitable, why do you think it's taken so long to see a a significant downward momentum in supply?
Eric Norris: Yes. Good morning. This is this is Eric. So speaking on lapelite, it was announced during the quarter and we've we've since been able to get corroboration although it's it isn't always clear in China, but that but the lopetalite one of the largest lopetalites suppliers had gone down into care and maintenance, taking some capacity offline, but there's still a pet light in the market. It's obviously, that's all in China. We've also seen continued growth in supply coming that's replacing that serving that growing China market coming out of Africa. We've seen a lot of the shutdowns have been some of the or modulations in some cases, has been out of the western Australian? Sites and some delays on some of the the the Brian projects that were more either Greenfield or significant brownfield expenses have been pushed out. I'm we could get in more detail, but that's a that's a quick summary. As to why more has not come out, it's it it is a little little puzzling. It is a fragmented market. It is a market with significant Chinese presence today. And it's it's a market where you have a lot of young companies whose sole reason for for existing is to to raise a lithium project. They may have cash on their balance sheets, and as long as they can continue to operate, they will do so. They don't have alternative. So I think it's the maturity, maybe one way putting up this market is such it's gonna take a little longer and that is reflected in our lower for longer view on pricing potentially, which is driving us our need to be competitive for the cost the cycle that that and then all these actions that we have talked about taking today.
Operator: Our next question is from Joel Jackson from BMO Capital Markets. Joel, your line is open.
Joel Jackson: Hi. Good morning, everyone. Just following up on that for my first question. Don't you think that more supply needs to come out of the market, like real supply? Not some projects three years from now, but real spodgy, I mean, real hard rock, real brine out of the market now. To get prices going, or what do you think needs to happen to get prices to recover? And it seems like it can't just be demand. It's gotta be supply at this point. Would you agree?
Kent Masters: Well, I think it's both. Right? So we we we do think more supply needs to come out, and then these and these prices persist as it will come out. It's a matter of how long it takes. And then and demand is still pretty strong. Right? It's over 20%. It's it's buck we've it it's been ticked up a little bit by some of the fixed storage volumes. That that in the last few quarters. A little stronger than we had anticipated, but it it is both. It's both demand and supply, and we we do we need more supply to come out, and we expect it to work at prices at these levels.
Joel Jackson: There have been a lot of stories in the media the last few months about Altima maybe looking at the massive sales whether it be your stake in Greenbushes or or Talosin, which I think you refuted publicly or had a retraction in the media, got a retraction made from that report in the media, but also maybe speculation you'd be considering selling your stake in Wajna you just generally talk about if you're looking at any asset sale.
Kent Masters: But we're always looking at from a port so Ketchum is an example of that that we talked about that and said that's a non-core asset that we look to sell. But Greenbush is something we are not when we're not we wouldn't speculate on rumors around that, but and we but we did clarify green bushes do not something we're thinking about selling.
Operator: Our next question is from Michael Sison from Wells Fargo. Michael, your line is now open.
Abigail: Hi there. This is Abigail on for Mike. Just wanted to ask about the status of Kings Mountain, if there's any update in terms of cost or plans or anything like that.
Kent Masters: So King's Mile is a project we continue to push and invest in. So we're we're going through the permitting process that and that process is on track. There there's a a number of permits that are necessary for that, and it's a pretty long time frame to secure all of those, but I would say we we continue to pursue that from a permitting standpoint. And it and the process is at this point, it's on track.
Abigail: Got it. Thanks.
Operator: Our next question is from Christopher Parkinson with Wolfe Research. Christopher, your line is now open.
Harris Fein: Hey. This is Harris Fine on for Chris. Thanks for taking my question. For my first one, it'd be helpful to hear some of your thoughts on the implications from the election how you're thinking about tariffs and EV subsidies, and and maybe how you're adapting strategy for that kind of environment. Thanks.
Kent Masters: Yeah. So it is well, it's a little early to to talk about what a Trump administration may do. We know what they've talked about. We'll have to see what they do. But this the energy transition is kind of a global phenomenon that that is happening. It's really driven first by China. Europe, probably the second largest market in that, and then North America. And I don't wanna speculate on what Trump administration might do. We'll have to wait see. I will say that we've we've worked across the aisle in, around the the US, and we have contacts there. We we know what they had talked about, but I think we just have to wait and see what they do, and then we'll we will adjust to that. But it is a global market. And this energy transition is happening. And we're pretty well positioned around the globe to take advantage of that. We we were a strategy had been to pivot to the west. We've kinda backed off that given that prices have been so low and economics are building that supply chain out in the west. We still hope to do that, but we have to wait and see what Trump administration wants to do.
Harris Fein: Got it. That that's helpful. And then for my second one, in slide seventeen, you mentioned, potential upside actions. Accelerating productivity and and reducing capital intensity even more. I guess maybe could you provide a little more detail to what's on the table right now? Anything you can share as to what that might entail? Thanks.
Kent Masters: So look, I think we're work we're working through this and we and as we said before, there we we've given a range because and we're we're being pretty aggressive around that and and it and it covers everything from overhead to R&D, part of that and our manufacturing base. So there's some opportunities to to take cost out of there. So I don't know that we wanna speculate on those. We need to do the work, and then we'll come back to it. Because I think first you'll see, hopefully, we'll be narrowing the range to the upside. As we go through and execute against this. And then if we have anything new to report, we'll do that in time, but I'm not I don't wanna get out in front of.
Operator: Our next question is from Joshua Spector with UBS. Joshua, your line is now open.
Chris Parela: Yes. It's Chris Parela on for Josh. Good morning, everyone. I wanted to follow-up on the contract outlook for lithium next year. I know it's two-thirds under contract, for this year, what are your expectations for the mix in 2025? And then I had a follow-up on use of cash in the fourth quarter.
Kent Masters: So I I guess as we go through this, so as the we're not our our mix won't change materially. Other than the fact that a lot of the growth will come on at spot volumes. It may and it may be under a contract, but it would be probably not with the same level of floors that we have in our current contract. So the growth kind of creates additional mix, if you will, so it's not really a change in those contracts, that the existing contracts per se, but new ones either that come on or we the volume that we sell is on a spot basis. It's more reflective of the spot market.
Chris Parela: Oh, thanks, Kent. And then I guess for Neil, the use of cash in the fourth quarter from an operational standpoint, quite large. Could you just bucket or size out and expand upon what the cash outflow or the use of cash is going to be from an operational standpoint in the fourth quarter?
Neal Sheorey: Yeah. Let me let me maybe give you a couple of things to to think about. So first of all, in the fourth quarter as I mentioned on a on a previous Q&A, we're right now not expecting a dividend from the Taliesin JV. If you go back and and look at what we did in the third quarter or what we got in the third quarter, you'd probably find that that that dividend was in the, let's call it, $70 million to $80 million kind of range in the third quarter. And so that's that's one piece that we won't we're not expecting on in the in the fourth quarter. The other piece is is as we mentioned in the prepared remarks, one of the one is that we there are two things behind our working capital performance in the third quarter. The first we said was working capital management working focused on on driving those to an efficient point by the end of the year. But we also talked about timing of working capital and what that was specifically is we had some items in a pay that moved from the third quarter into the fourth quarter. So we'll eventually have to obviously make those payments. And I I won't give you the exact number here but you can imagine that that's gonna be in the tens of millions of dollars. As we finish up those payments. And then the last one is these the payments related to the cost reduction actions that we announced today. If you go and look in our queue, I'm I I don't know if you've had time to look at that, but we've bread boxed that and it's kind of in that $40 million to $50 million kind of cash outflow range as well. So that that maybe gives you a few key buckets to think about from an operating cash flow perspective.
Operator: Our next question is Patrick Cunningham from Citi. Patrick, your line is now open.
Eric Zang: Hi. Good morning. This is Eric Zang on for Patrick. On the 2025 CapEx guide, can you walk us through the actions you guys taken to bring down CapEx and what is contemplated? And are there any assets under consideration that could potentially go into care and maintenance? Thank you.
Kent Masters: So okay. Midwoth Capital first. So and then know, you can help me on this a little bit. But we've looked up a across the organization and we've taken out there's some growth projects that we have taken out about of capital. We've tightened others up. And from a maintenance capital standpoint, we've gotten tighter on that, a little more rigorous, and I as always said before, what we've kept in, we've got maintenance capital, what we think is minimum that we need. And again, we're targeting that 4% to 6% of revenue for rain in the range for maintenance capital and we're a we're a little ahead of that for 2025 because we used that's on a normalized revenue basis and we think we're below a normalized level given lithium prices. And we've got projects around either oh, pretty short payback investment projects whether they're for cost improvement or additional product that would be a high return short payback type projects. We're still doing those and those larger growth projects, which is why we're we pulled back on our growth forecast out into the future because we're not doing some of those bigger projects that we had planned. And then the the second part of the question, I'm sorry.
Eric Zang: Oh, asset oh, sorry. Another question. So we.
Kent Masters: Yep. Yep. So we've done alright. Yep. I got it. So sorry. So we've we've done the train to at Kimberton and Cara then and depending on where prices go, we will look at other assets both from a resource and conversion standpoint across the portfolio. It's something that that we are that we will look at. We've not made decisions around that. And some of those are are require like say b decisions as well. So Woden is one where we're we're deciding about the number of trains that we operate at Wajina. It's something we have to agree with our joint venture partner.
Eric Zang: Okay. Thank you.
Operator: Thank you. That's all the time we have for questions. I will now pass it back to Kent Masters for closing remarks.
Kent Masters: Okay. Thank you, Jimmy. Albemarle continues to deliver solid operational results due to our execution across the company. With proactive steps underway to reduce cost and drive performance, we are well positioned to take advantage of the long-term growth opportunities across our end markets. Thank you for joining us today. And please stay safe.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.